Operator: Good morning, and welcome to Localiza&Co.'s webinar on the third quarter 2025 results. Joining us today are Rodrigo Tavares, CFO; and Nora Lanari, Head of Investor Relations at the company. Please note that this webinar is being recorded and will be available at ri.localiza.com, where the full earnings release material are also available. The presentation is also available for download on the IR website. [Operator Instructions] Please note that the figures in this presentation are [ in millions of reals ] and follow IFRS standards. We emphasize that the information contained in this presentation and any statements made during the conference regarding business outlooks, projections and operation and financial targets of Localiza represents the beliefs and assumptions of the company's management as well as currently available information. Forward-looking statements are not guarantees of future performance. They involve risks, uncertainties and assumptions as they refer to future events and therefore, depend on circumstances that may or may not occur. Now I will hand it over to Rodrigo Tavares, CFO of the company, to begin the presentation.
Rodrigo Tavares Goncalves de Sousa: Good morning, everyone, and thank you for joining our third quarter 2025 webinar. In the third quarter of 2025, we maintained a consistent trajectory of executing our strategy -- our strategic priorities, focusing on restoring the ROIC spread and consolidating operational and financial efficiency gains. The results for this quarter adjusted for the effects of the IPI reduction reflect solid progress on this agenda. We reported net revenues of BRL 10.7 billion, EBITDA of BRL 3.5 billion, EBIT of BRL 2.3 billion and a net income of BRL 871 million. The annualized ROIC for this quarter reached 15.4% with a spread of 5.3 percentage points over the cost of debt. Guided by a long-term vision and a commitment to generating sustainable value, we continue to execute our strategy with discipline and focus on continuous transformation. Our investment in innovation drive improvements in customer experience and operational excellence across all divisions. In Car Rental, initiatives such as AI-powered virtual assistant Liza handled more than 4,000 daily interactions with NPS above 85, delivering agility and resolution in over 90% of cases without human intervention. Another highlight is FAST Digital Pickup, a benchmark in the industry innovation available in 252 branches, where 1 out of 3 individuals customer contracts in opened fully autonomously. This generates significant productivity gains and supports our trajectory towards reaching 1 million contracts in 2025. FAST customer report higher NPS scores for the pickup experience and indicate that this journey will influence their next rental decision. In Fleet Rental and Localiza Meoo, results are strengthened by initiatives that enhance our customer experience such as Localiza PitStop, which since 2019 has offered high-quality maintenance in private and comfortable environments. The process ensure excellence standards combined with cost efficiency, allowing customers to maintain their routine while their vehicle is serviced with convenience and agility. Additionally, the digital journey for this customer has evolved consistently, driven by vehicle connectivity, which improves management, enhance safety and delivers a smart solution for a more integrated experience. In Operations and Seminovos, we reaffirm our commitment to high standards of quality and trust through rigorous inspection carried out our 15 deactivation centers, where 360 items are evaluated by specialized professionals using cutting-edge technology, ensuring technical precision and operational excellence. These practices reinforce brand credibility and guarantee that every Seminovo delivered exceeds customer expectation. In the third quarter of 2025, we continue investing in the evolution of our technology stack, cloud solutions and artificial intelligence initiatives, positioning the company for the future. These advancements strengthen our competitive edge, elevate customer experience and increase the value delivered to all stakeholders. This quarter, we recognized the one-off effect of the IPI reduction in our results, totaling BRL 929 million in pretax impact, including BRL 137 million in impairment adjustments affecting EBITDA and BRL 792 million in additional depreciation. Unless otherwise indicated, year-over-year comparison, this representation will exclude these effects. To present the details of the third quarter of 2025, I'll hand over to our Head of Investment (sic) [ Investor ] Relations, Nora Lanari.
Nora Lanari: Thank you, Rodrigo, and good morning, everyone. On Slide 2, we begin with the Car Rental division in Brazil. In the third quarter '25, net revenues for the Car Rental division reached BRL 2.6 billion, an increase of 6.2% compared to the third quarter '24, driven by the rise in the average daily rate despite of the strong comparison base and stable volumes. On Slide 3, we show the 5.7% increase in the average daily rate for the quarter, which ended at BRL 150. The utilization rate rose almost 1 percentage point, reaching 80.8% and reflecting efficient pricing and mix management. Moving to Slide 4. We present the Fleet Rental division, which posted net revenue of BRL 2.3 billion, 6% higher than the same period last year. We continued reducing exposure to severe usage vehicle contracts, which ended the period with around 20,000 cars versus 31,000 as of December 2024. The volume impact was more than offset by the increase in the average daily rate contributing to the recovery of return levels in this division. On Slide 5, we show the average daily rate of BRL 104, 8.5% higher than the third quarter '24. The utilization rate of 94.9% reflect the reduction in severe usage contracts, which require longer preparation and deactivation times. Moving on to Slide 6, we present the revenue evolution of Seminovos, which reached BRL 5.8 billion in the quarter, an increase of 14.6% compared to Q3 '24. Average selling price rose in both Car Rental and Fleet Rental divisions, mainly reflecting a better model/year mix. On Slide 7, we highlight the significant reduction in average mileage at sale. The company continues to reduce average mileage, especially in the wholesale, contributing to higher selling price and lower maintenance costs. The age and mileage of the sold cars continue to show a gradual downward trend over the coming quarters. On Slide 8, we present the car purchase and sale volumes. In the quarter, 77,344 cars were purchased, being 50,930 for the Car Rental division and 26,414 in the Fleet Rental. And 75,400 (sic) [ 75,473 ] cars were sold, a historical record for the company. After a second quarter impacted by the IPI reduction announcement, we saw a recovery in sales volumes in Q3, contributing to a slight reduction in the average age of the car sold in the Rent a Car division to 21.3 months. Following the decree that reduced the IPI tax for entry-level cars, we observed a gradual adjustment in Seminovos prices throughout the quarter. Despite the impact of the IPI reduction on the Seminovos price, we recorded an increase in the average ticket in Q3, mainly due to a better model/year mix. On Slide 9, we show the evolution of average purchase price and sales price. In the Car Rental, the average purchase price was BRL 82,500 and the average sale price reached BRL 73,600 in Q3, resulting in a fleet renewal investment of BRL 8,900 per car, significantly lower than the BRL 18,100 in Q3 '24, reflecting the gradual fleet rejuvenation. In Fleet Rental, the average purchase price was BRL 97,400 in Q3, while the average sale price was 83,100, resulting in a renewal CapEx of BRL 14,300 per car, lower than the 20,600 of Q3 '24, mainly reflecting the sale mix and the participation of trucks on the sale end. On Slide 10, we show the end of period fleet. The company ended the quarter with a fleet of 632,267 cars in Brazil, stable compared to Q3 '24. But in the Fleet Rental division, the reduction in the year of -- end of year period, fleet reflect portfolio optimization with reduced exposure to trucks to heavy use contracts. Moving on to Slide 11. The company posted consolidated revenues of BRL 10.7 billion, a 10.8% increase in Q3 '25 compared to the same period last year. Rental revenue grew 6.1%, totaling BRL 4.9 billion, while Seminovos revenue reached BRL 5.8 billion, a 15.1% increase year-over-year. On Slide 12, we present consolidated EBITDA. In the quarter, EBITDA was impacted by BRL 137 million due to the expected effects of the IPI tax reduction. Excluding these effects, adjusted consolidated EBITDA totaled BRL 3.5 billion, a 6.8% increase year-over-year. In the third quarter '25, the adjusted EBITDA margin of Car Rental division was 67.7%, a 3.5 percentage point increase year-over-year, reflecting rental pricing improvements, combined with efficient cost and productivity management. Rental revenues increased BRL 151 million, while costs and expenses decreased BRL 37 million. Maintenance and preparation costs saw a significant year-over-year reduction. On the other hand, SG&A increased due to the higher provision for doubtful accounts and increased technology spending, mainly related to artificial intelligence. In Fleet Rental, the adjusted margin was 73.4%, a 3.5 percentage point increase compared to Q3 '24. The margin was positively impacted by accelerating tax credits with a one-off effect of BRL 50.6 million. The SG&A increase reflects higher provision for doubtful accounts showing cautious regarding the macroeconomic scenario. Seminovos posted an adjusted margin of 2.6%. In Q3, we again saw increases in sales volume and average prices, contributing to the dilution of the selling expenses, which dropped from 5.6% of the net revenue in Q3 '24 to 4.8% in Q3 '25. This quarter, BRL 118 million was recognized as an adjustment of the book value of the cars available for sale whose selling prices were impacted by the IPI reduction, affecting the accounting margin of the quarter. On Slide 13, we show the evolution of the annualized average depreciation per car. In Q3, the average Car Rental division posted annualized average depreciation per car of BRL 7,652, excluding the effect of the IPI reduction, a slight sequential increase as expected by the company. Including the IPI effect, depreciation would have been BRL 15,177. In Fleet Rental, annualized depreciation per car was BRL 8,602, excluding the IPI effects, following the upward trend signaled by the company. Including the IPI effects, depreciation totaled BRL 12,298. On Slide 14, we show adjusted EBIT of BRL 2.3 billion, an 11.2% increase year-over-year. The impact of the IPI reduction in the quarter totaled BRL 929.2 million. To present net income, I will hand over to Rodrigo.
Rodrigo Tavares Goncalves de Sousa: Thank you, Nora. On Slide 15, we present adjusted net income of BRL 871 million, excluding the effect of the IPI reduction. The 7.3% increase in adjusted net income in 3 quarter -- in the third quarter of 2025 compared to the third quarter of 2024 reflects the BRL 224 million increase in EBITDA, partially offset by BRL 175 million increase in net financial expenses due to higher CDI and debt balance during the period. On Slide 16, we present free cash flow before interest. In the 9 months of 2025, cash generated from rental activities were partially consumed by CapEx for cars and other fixed assets as well as reduction in accounts payable to automakers. Free cash flow before interest totaled BRL 4.5 billion. On Slide 17, we show net debt movement, which ended in the quarter in BRL 31.1 billion, a 3% increase compared to the debt of the same period of the end of last year. Moving to Slide 18, we present the debt profile. The company ended the quarter with BRL 12.3 billion in cash, enough to cover short-term debt and accounts payable to automakers. We continue active debt management to capture cost reduction and duration extension opportunities. On Slide 19, we present debt ratios, highlighting the net debt to fleet value at a comfortable level, even with a reduction in fleet value due to IPI tax cut. The net debt-to-EBITDA ratio continues to improve, reflecting our price recovery and cost efficiency agenda. Finally on the Slide 20, we present the ROIC spread. In the 9 months of 2025, the company posted an increase in adjusted ROIC, which closed the period at 14.3%, contributing to a spread of 4.5 percentage points over the cost of debt. It is important to highlight that the third quarter of 2025 brought an annualized ROIC of 15.4% and a spread of 5.3 percentage points, in line with the company's goal to restoring return levels. Before we start Q&A, I'd like to point here our view about this quarter. This was a very strong quarter in our view. The Rent a Car has strong performance, the all-time productivity here. Our utilization is also in one of the highest of our history, and we presented a sequential growth both in volume and prices. Fleet, we continue a consistent improve in our portfolio. The target segments are already at the right ROIC spread, and those segments are growing in double digits in terms of revenue. Depreciation in both Rental a Car and Fleet Rental are under control. Seminovos, we're posting record volumes. Gross margins are at healthy levels. SG&A are being diluted with focus on productivity. We see Seminovos margin stable going forward, even though there is [ IPVA ] discounts in the fourth quarter. Issuance and cash flow showed a very strong cash generation, and we are continuing to reduce the spreads and increase the duration of our debt here. On a final remark, yesterday, we issued a material fact informing about the selling of Voll, a travel tech that we invested in 2021. This was a very strong investment for Localiza. The return was 5.1x the invested capital in just 3 years. With us, the company grew its revenue sixfold and reached breakeven. We're going to maintain a partnership through the commercial agreements, and I also would like to highlight and thank the founders for this incredible journey and wish the best luck and success to Warburg Pincus and the founders going forward. Now we're going to be available for the Q&A session.
Operator: [Operator Instructions] Our first live question is from Mr. Filipe Nielsen from Citi.
Filipe Ferreira Nielsen: Congrats on the results. So my question is all regarding depreciation. So it's -- we saw that it is trending according to what you've been guiding in past quarters. It's gradually increasing, but I was wondering if you have any indications on how this is going to trend in the fourth quarter and into 2026. You mentioned that Seminovos is healthy, but just wondering if any -- maybe you're accelerating the pace of Seminovos sales and fleet turnover, this could enable some reductions in depreciation already next year? And maybe if the car market continues going stable or even improving, you should maybe prefer to see all those IPI adjustments in high-end depreciation going into a higher Seminovos margins or you would prefer to reduce depreciation faster and maintain a stable Seminovos margins?
Rodrigo Tavares Goncalves de Sousa: Thank you, Filipe. First of all, like we see now as the market behaves, the depreciation is under control, both in Rent a Car and Fleet Rental. In regards of the movements of depreciation going forward, we would like to see the Seminovos margin going up first before we actually reduce depreciation. So what we should see in order to question if the depreciation should be reduced is first an upward trend in the Seminovos margin. Before we see consistent increase in the Seminovos margin quarter-over-quarter, I think it's premature to talk about reduction in the depreciation. Having said that, at least the way we're seeing the market, we see the depreciation under control in both our segments.
Operator: Our next question comes from Mr. Guilherme Mendes from JPMorgan.
Guilherme Mendes: I have 2, both on the Rent a Car segment. The first one is on tariffs. I just wanted to pick your brains on how much more room you see on tariff adjustments. We saw sequential -- a small sequential acceleration. So I wonder if you see much more room for increases in real terms going forward. And the second is on margins, something that we have been discussing for the past conference calls that you do expect margins to accelerate by the time you rejuvenize your fleet. And assuming the run rate once you fully renew your fleet to a younger age, what can we expect in terms of margins on the Rent a Car division?
Rodrigo Tavares Goncalves de Sousa: Guilherme, thank you. First thing, it's very important that we look at the tariffs, but we cannot look at the tariffs alone. We have to look at utilization altogether, right? If you control for utilization, we see that we are gradually progressing our tariffs. If you do even more than that, if you look at the tariff divided by the total cars, that's the one that really matters, right? You're going to see that also we have been improving our efficiency consistently across quarters. If we look -- of course, the last quarter is a very strong quarter in terms of seasonality. So you have tariffs going up just because of that. What we just noticed, especially in the mid of September is a little bit of change in the behavior of some competitors, especially on the daily rentals that we saw some pressures on the daily rentals' tariffs here. This is not a segment that we are highly exposed. So the impact for us is not that relevant. But we're going to continue to price based on the willingness to pay of the customer, our return and, of course, the competitive dynamics. Once again, the last quarter will be a strong quarter in terms of tariffs because of seasonality, but specifically on the daily rentals, we're starting to see some competitive pressures here, okay? In terms of the more long-term trend, it is important to highlight that you're right, as we accelerate the sales of Seminovos, we are going to collect the benefits of the rejuvenation of that fleet, mostly in the cost of preparation of the car and the cost of maintenance, and there are some percentage points in EBITDA margin to be captured.
Nora Lanari: Yes. A couple of points, if I may add, Guilherme, and thank you for your question. First, on the tariffs, I would like to point that with the level of tariffs, actually, we grew volumes on a quarter-over-quarter basis by more than 4%, and we added average rental rate with increasing utilization. So it was a very positive quarter on our view in that sense. But more important than that is the ROIC spread already in the band in the Car Rental division. So it points for a more mild need to increase prices. And we go for Q4 with appetite for daily rentals, okay? On the second part of the question, margins, more important than the margins per se is the ROIC spread. Why am I saying that? We do have some room to optimize the costs in the Car Rental division based on the renewal of the fleet. We do have, of course, some still pricing lever. But if the interest rates decline next year, we can adjust to that. So pretty much the major KPI for the company is the ROIC spread. And as I said, this quarter, we entered in the historical band of the company.
Operator: Our next question comes from Mr. Andre Ferreira from Bradesco BBI.
Andre Ferreira: A couple of questions from my end. So first, regarding the provision for bad debt in Rent a Car and Fleet Management, the worsening that you referred to in the release was year-over-year, but there was actually an improvement quarter-over-quarter. So if you can comment on what drove this in Rent a Car and GTF. In the case of GTF, if it's still more related to the heavy segments and if you're seeing improvements or deterioration in both segments at a marginal level? And my second question is related to the gap between the average purchase and selling price of cars closing quarter-over-quarter. If you can just break this down in what is mix and what is actual comparable improvement? And also if in the latest weeks, you see this gap closing or widening? That's it from my end.
Nora Lanari: Thank you for the questions, Andre. And let me start with the first one. End of last year, Q4, we started raising the provisions for bad debt, considering the macro, the hike in the interest rates and so on. So we've been seeing some deceleration in economic activity. But since Q4, we increased the provision for bad debt. So it's a year-over-year comparison. I think Q4 will be an easier comp. Having said that, when we look to the evolution of the bad debt provision, it declined from BRL 100 million last quarter to roughly BRL 75 million. So we are seeing improvements in that sense, mostly explained by trucks. Remember that trucks increased the allocation of bad debt because of a couple of clients. We increased a bit the number of repossessions of trucks, and we are reselling those trucks now. But the trend is positive, and we are seeing improvement on a quarter-over-quarter basis, not only in Q3 but also in Q4, okay?
Rodrigo Tavares Goncalves de Sousa: Most of it was in the first half. I think that now in the second half, we see a more positive scenario, okay? So as Nora said, the comp of the third quarter of last year was a strong one. But sequentially, we see that most of this happened in the first half. In the terms of the price gap between the acquisition and the sale. This trend is supposed to happen, right? As we renew our fleet, especially in Rent a Car here, we're going to see that gap closing, right? So this happens most because of a mix of a model year. Just to give you a sense, we started selling the 2024 cars last year in November. This year, we started in June. So this brings prices up and reduce that renewal cost, okay? So of course, there can be a quarter-over-quarter mix adjustment, but the majority here is the fact that we are starting to sell the cars at a younger age and in a model year that represents the model year of the current year. So this is an effect that was already expected and it's happening.
Operator: Our next question comes from Lucas Esteves from Santander.
Lucas Esteves: I have 2 questions. The first one regarding the recognition of tax credits on GTF, even though you mentioned a one-off effect of circa BRL 50 million in the period. I would like to understand what could we expect about the recurrence of this tax credit recognitions going forward since in my understanding, you were not accelerating depreciation in a share of your fleet related to Locamerica before the system integrations due to a matter of tax efficiency. And now you would recurrently recognize this accelerated depreciation for the whole fleet. So just to get the sense of this tax credit recognition going forward and the impact on GTF margins. And on a second matter, I would like to hear more about Seminovos margins since you recognized a one-off fleet depreciation in the period, also continued gradual increase in normal depreciation, while it seems from your current results that the scenario improved a bit more than you expected and as we can see margins. So could we expect a margin overshoot over the next quarters in your view?
Rodrigo Tavares Goncalves de Sousa: Thank you, Lucas. I think you pointed correctly, the tax credits before the incorporation, we were not taking accelerated depreciation for a part of the fleet, the part that remained at Locamerica. Of course, this is -- reflects our owner mentality. It doesn't make sense for us to recognize the credit just for accounting purposes. And now we did that. Of course, then in the first quarter that you start to accelerate, you have a small, let's say, one-off effect here. But going forward, the tax recognition should be higher than it was before the incorporation for Fleet Rental, okay? So we should expect this to be a positive influence of the margin of Fleet Rental going forward. In the Seminovos, as I said, we have recognized the IPI. We see so far, the market is behaving well. We see so far at least stable margins going forward. We have to see more probably a positive scenario to see this margin overshoot. That's not our main expectation at least in the short term, okay? There is an impact in the fourth quarter that its commonly, companies tend to give the discount of the IPVA, right? This is relevant, 1% of the price. But even with this discount, we think that the margin should remain stable at least for the last quarter of this year. So it's a positive trend, but I wouldn't assume an overshoot at least in the short term.
Operator: Our next question comes from Mr. Daniel Gasparete from IBBA.
Daniel Gasparete: Can you hear me? Can you hear me?
Nora Lanari: Yes. Yes, we can.
Daniel Gasparete: So 2 questions also. The first one, I'd like to ask Rodrigo, his view regarding the size of the impairment. Looking right now after a couple of months since the first announcement, how conservative do you think that this impairment is? I mean you are on the -- close to the top of the range that you provided. And so far, we have seen [ FIPE ] and comments not only from you but from other peers in the industry that Seminovos are behaving well. So I would like to get your view about how conservative this is. And secondly, I would like to ask you a little bit more about how do you see the severe use going forward and how that could benefit margins as well, please?
Rodrigo Tavares Goncalves de Sousa: Thank you, Gasparete. First of all, once again, the incremental depreciation is a technical adjustment here. We just replicated exactly what the IPI decree car by car here, and that was the effect that we booked. We really hope that this is conservative. I think only time will tell. Usually, the markets do not adjust everything at once. So of course, that the market is behaving well, but it is a bit too soon to judge if that was conservative or not. Once again, it was a technical decision with no judgment from the company just replicating what the decree had an impact on the new, assuming that all the impact of the new cars would be replicated in the used cars. So that was basically the methodology. Once again, I hope that this is conservative, but we have to wait to see if these prices will not be impacted going forward. The severe usage -- the main effect is not just in the EBITDA margin, I think, because usually, they tend to be priced higher, but the Seminovos and the depreciation are much higher. So the main benefit is actually in the ROIC and the ROIC spread here, right? Because not only you have a higher capital base, but the depreciation is much, much higher than the average. We started this year with roughly 31,000 cars. We're probably going to end up this year with half of that. And going forward, we're probably going to reduce another 50% next year. So gradually, this severe usage will not have a major impact in our balance sheet. I believe that in 2026, we're going to see a much cleaner results of fleet with just a remainder of those cars in our balance sheet.
Daniel Gasparete: Rodrigo, if you allow me just to follow up something that you mentioned in the first part of your answer. How much time do you think we should take in order to see Seminovos prices reflecting the IPI reduction? You said that it usually takes a few months. How much time do you think that we should wait until we see stabilization? That will be the first follow-up. And the second follow-up would be -- first of all, please go on this first one and then if there's time, I make the second one, sorry.
Rodrigo Tavares Goncalves de Sousa: I think it's hard to precise what we saw in 2023 that it took more than 6 months, right, to see that. So I think that at least in the beginning of this year, the next year, we have to wait to see if there are some evolution here. But it's hard to give you an exact date. But I think that by the beginning of next year, we should know clearly what was the effect, the total effect of the IPI tax on the used car market.
Daniel Gasparete: Perfect. And if you allow me, just a second follow-up. Since you are buying cars cheaper, given they had their price reduced, but you're not seeing Seminovos prices coming down. Is it fair to assume that you're seeing that your purchase sales spread is improving?
Rodrigo Tavares Goncalves de Sousa: We are not only buying it cheaper, but we're gaining additional discounts as well. Once again, that will depend -- okay. In the short term, we may see that an improvement in the gap of the price that we buy and the price that we sell. But as I mentioned before, a part of it actually comes from the fact that we are selling younger cars and the cars of the 2025 model rather than the 2026 -- 2024 model.
Operator: Our next question comes from Alberto Valerio from UBS.
Alberto Valerio: One question on my side here also on Seminovos. I remember that Localiza Day when you announced the impairment last year, you guys mentioned a spread to the car that you bought that you'll be selling this car for 2% and 4% -- between 2% and 4% negative. It used to run at positive space. And with the current depreciation that you are presenting after this impairment of this year, we estimate that this gap would be more close to the minus 4% than the minus 2%. Is that the correct -- is how we should think for the future for modeling for next year that the depreciation is at the correct level at this moment? Or we should see some difference in the future?
Rodrigo Tavares Goncalves de Sousa: Thank you, Alberto. I think if you run the math the way that you do, okay, you can get to this minus 4% or minus 5%. But one thing that you have to consider is that today, we're not selling cars with 15 months old, right? It's cars that is 21, 20 months. So we have actually to consider the impact of not only the price of a younger car, but there is an impact on the channel that you sell the car. So not only to sell a younger car for a higher price, but you sell a proportion in retail that is much higher than you would sell otherwise, okay? So in order to run your math, you have to consider a little bit these adjustments. And if you consider that, you may reach a number that is below the minus 5% that you're reaching right now. But if we consider the 19, 20, 21 months, I think your numbers seems pretty reasonable.
Alberto Valerio: Fantastic, if I may have a follow-up as well on tariff for next year. We see some competitors a little bit more optimistic about tariff for next year. Localiza has the same idea that is still some space for increased tariff for 2026?
Rodrigo Tavares Goncalves de Sousa: Competitors are always optimistic. Having said that, we see that it will depend on several factors, right? First of all, is the interest rate, right? That is a major driver. We look at ROIC spread, right? We don't look at the tariff individually. We don't look at EBITDA margin individually here. We look at our ROIC spread. I think the company has been very ready for the next cycle here. Our efficiency, our utilization is very strong. As I said, we are ready to focus more on the daily rentals here, even if the competitive environment is a little bit tougher on that specific segment. So it will depend on all the sector -- on all these parameters here. But I think the macro will have a very strong implication here. Having said that, we, for the first quarter, in Rent a Car, we reached the band of ROIC spread. It's the lower end of the band, but it's the first time that we reached the band. The next quarter is a stronger quarter in terms of seasonality. So once again, I think the company has done its homework and it's ready for the next cycle.
Operator: Our next question comes from Mr. Lucas Marquiori from BTG Pactual.
Lucas Marquiori: Two questions as well. One is still a follow-up on this yield on Rent a Car trends overall. And I know we have been focusing on the tariffs' dynamics. But I mean, since that you guys are buying cheaper cars. So if I were to look to yield trends, right, and how much are you pricing on top of kind of a cheaper fleet cost overall, can we say that actually yields are on the margin better going forward, right? So I'm not looking to the nominal kind of a price, but actually looking to the yields assuming that you're buying cheaper cars. This is the first question. And of course, if you could kind of throw that trend for '26. And question number two is on the cost agenda, guys. And I know you have been kind of talking about that for a while now. And I mean, when should we start seeing the real benefits of the integration? And do you believe, for instance, a strong season like Q4 and maybe Q1 is maybe the time for us to start to see better margins on both Rent a Car and Fleet besides the tax credits and some kind of cost gains on that end as well? Just to kind of hear your thoughts on that.
Rodrigo Tavares Goncalves de Sousa: Okay. I'll start and then Nora can complement here. First, Lucas, for me, especially in Rent a Car, yield is not the best metric that we can follow, right? I can give you several examples. If I rent a monthly rental of 5,000 kilometers a month, that will have a very high yield, very poor return. Usually, economic cars have a higher yield because, of course, the fixed costs are much higher for an economic car. So for the store, for the rent, for everything that I have, I need a higher yield. So yield is really not the best metric. If you have to look also, you should consider the whole fleet, not just the rented fleet or the operational fleet to check that. So I'd much rather see the returns than the yield. But having said that, as I said, we have been delivering a strong price increase if you adjust by utilization or even without adjusting for price utilization. You're talking about the benefits of this integration. The benefit mostly is on fleet, right, because you have some operational procedures that are simplified here. Of course, there are some challenges, too, when you change the system and you incorporate. But -- and the only thing is that we are already seeing a lot of these benefits, right? You see margins increasing. You see costs under control, right? We are allowing ourselves to do more investment, especially on technology. So I think it's going to be gradual. We're not going to see a one-off thing in the next quarter or the quarter after that, but it's going to be something gradual. But the main, main lever here is rejuvenating our fleet, is renewing our fleet in Rent a Car. I don't know if you want to point something, Nora.
Nora Lanari: Yes. Just to add a couple of points here on the yield part and both in the integration. But let me start with the last one, Lucas. We just concluded the integration of the systems in the Fleet Rental. We should be able to see some additional synergies being captured in Q4. But having said that, we mentioned in the release that the ROIC spread of the targeted segment is already in our goal. So it means that we don't need to raise much more EBITDA margin because we are more or less on track. If we assume that the interest rates tend to decline, we can actually have the benefit of that. So that's why we say the ultimate metric is the ROIC spread, not the margin per se. Having said that, growing on the subscription is one of the segments that are growing faster, and this segment uses a little less the car, so the depreciation is lower, so we can adjust the margin based on that. So just to reinforce the point here. But we do have some margin gains going forward. We continue with a very strong cost and efficiency agenda that should help on the margin. But again, we'll follow up on the ROIC spread and pricing eventually. And that leads to the second point on the yield in the Car Rental. Conceptually, as little as possible impact on the pricing would be great to help on the demand front. So we are doing our homework on the cost side to be able to impact as little as possible the rate. So yield is definitely not the best metric for us. We have to consider the yield plus the cost, the productivity and by the end of the day, the capital invested so we can get the full picture of the ROIC spread.
Operator: Our next question comes from [ João Frizo ] from Goldman Sachs.
Unknown Analyst: I have 2 quick follow-ups. The first one relates to used car sales volumes. You guys are now running around 76,000 cars sold per quarter. Just wanted to get a sense from you what should be the level to get the age of the cars sold back to 14, 15 months? And how long should it take for you guys to get to this level of car sold per month? And the second question relates to the negotiations with the OEMs for 2026. Just wanted to get a sense from you guys on how are those going, if anything, you could comment?
Rodrigo Tavares Goncalves de Sousa: So thank you, João, for your question. First of all, we're delivering, as you said, 75,000, 76,000. We continue to push to increase that number. This is something that probably will happen gradually. To get to the 15 months, we need something close to 85,000 per quarter, okay? This is the number that we need to reach to get to this 15 months. And we expect -- we have -- once again, this is a long journey. We are increasing. This quarter was the record in terms of sales for Localiza. We have been able to increase quarter-over-quarter and deliver good results, but this will be gradually. But once we reach this 85,000 mark, first, we have to surpass the 80,000 mark. We're going to get to the time that we can get to the fleet to the optimal level again. In terms of the OEMs, still a lot of the negotiations going forward. So it's a bit early to tell about the conditions, but we don't expect anything to change significantly going forward.
Nora Lanari: João, just adding up to what Rodrigo just commented on the first question. We sold the record 75,500 cars this quarter. We are in a pace more or less at this level of 19 months, 19 to 20 months or so. So we are not yet in the pace of 15 months. For us to get that, we have to reach a bit over 80,000 cars. But I wanted to add the point that we are increasing the ROIC spread, and we will continue to increase the ROIC spread in spite of getting back to the 15 months. Once we get, we have even more room here to adjust pricing and eventually accelerate growth.
Operator: Our next question is from Jens Spiess from Morgan Stanley.
Rodrigo Tavares Goncalves de Sousa: Jens?
Operator: Jens, you can talk now. Your audio is open.
Jens Spiess: Sorry, I was on mute. Can you hear me now, right? I just wanted to make a question building up on the previous question on the amount of cars you've been selling. So first of all, congrats on improving the pace of cars sold and getting towards your target. I was just wondering, should we expect like for modeling purposes, that you will continue to be able to increase that pace in the next few quarters? Are you seeing favorable dynamics in October, November so that we can already assume slightly higher number? Or should it be relatively similar to the current number that you just reported? That's on the amount of cars sold. And my second question goes regarding the IPI tax impact on the used car market. Just to clarify, you mentioned that it still remains to be seen if the impairment was conservative or not. And I just wanted to ask, have you seen no impact whatsoever of the IPI tax? Because we did see several models depreciating at a higher rate to the typical monthly rate according to FIPE data. So just wondering how much of an impact you've already seen. And maybe if you could elaborate on how much like the monthly depreciation was in the past few quarters would be very much appreciated.
Rodrigo Tavares Goncalves de Sousa: Thank you, Jens. First of all, it is -- we don't provide any type of guidance in terms of amount of cars that we're going to sell going forward. Seasonality -- the third quarters is usually a strong quarter in terms of seasonality, okay? October is a strong month. November and December, not so much. So it will really depend here. But having said that, we don't expect anything to happen to be gradual, okay? Nothing major, either up or down, we don't expect anything major to happen here, okay? In terms of the IPI tax, definitely, we're already seeing some impacts. If you consider that the regular depreciation should be these 50 bps, the 0.5%, any number that you look, you're going to see that the cars are depreciating more than that. This is already a reflection of the IPI. So the past 3 months after the IPI, the cars have been depreciating more than it's usually have. So -- but it is still not everything of the IPI impact. So that's why I said that we still have to wait going forward to see if this trend will continue or if the cars will come back to depreciate the average of 50 bps per month, okay?
Nora Lanari: Sorry, Jens, just one quick comment before you follow up, if I may. On the Car Rental, we still have number of locations to open, okay? We will -- Q4 is a quarter that we usually concentrate some of the openings. So we are working on increasing capillarity, but more important than the capillarity per se is the productivity per salesperson and commercial efficiency here. So we do expect a gradual improve in the volumes of cars sold, but not necessarily in Q4. Q4 usually delivers a very strong October, but some deceleration in November and December as vacation and summer peak season hit. But sorry, I interrupt you. You're going to ask something else, right?
Jens Spiess: Yes. So pace of cars sold basically should trend gradually higher, but there could be a bit of seasonality going on. Yes, that's fair. Now on the IPI tax. So of the impairment you did, like how much is already -- how much already happened? How much like cushion do you still have from the impairment? Like is it 80%? Is it 50%? Is it 90%? Just a sense of how much room there is still.
Rodrigo Tavares Goncalves de Sousa: It's more like 3 quarters, we're already seeing.
Nora Lanari: And there is one question here in the Q&A, if I may, Daniel Spilberg. Rodrigo, Nora, next year, the market is pricing an easing cycle starting in January. In a scenario of lower interest rates and ROIC spreads converging towards 7 or 8 percentage point, is there any reason that could prevent Localiza from applying the long-term strategy of volume growth and market consolidation? Great question, Daniel. I think in that sense, if ROIC -- if interest rates decline and the ROIC spread follow to the right pattern, soon, we can resume the growth mode of the company going forward.
Rodrigo Tavares Goncalves de Sousa: We look forward to having this strategic dilemma, right, that when we reach the 7 and 8, and then we're really going to have here, maybe you can resume to grow to another cycle of growth here in market consolidation. We have a strong balance sheet that will allow us to do whatever strategic optionality that we want. But if really the interest rates converge, it's a matter of a decision if the company would like maybe to overearn a bit or to increase growth, passing through part of this interest rate efficiency through tariffs unlocking additional growth.
Operator: Our next question comes from Rogério Araújo from Bank of America.
Rogério Araújo: One follow-up here on the ROIC spread subject. As I understood, the idea is not that Localiza is going to pass through interest rate reduction to consumers before the company reach 7, 8 percentage points. Is that correct? Or if the interest rates start to drop, we could already see some kind of fare reduction or fare increase below inflation or some sort like that? That's the first one. And the second, if you could elaborate on your expectations for new car prices. And there was a [ 5% ] currency appreciation recently in Brazil. There are some Chinese brands coming to Brazil and producing locally. So if you could talk a little bit about your expectations for car prices and also any change in mix for OEMs that Localiza usually buys vehicles from because the market is changing, right? I want to know if Localiza is going to follow somewhere closer to the mix of the market within brands or not in the foreseeable future?
Rodrigo Tavares Goncalves de Sousa: Okay. Thank you, Rogério. In the first question, like we have first to reach our target in terms of profitability first before discussing actually passing through efficiency of interest rates through the tariff, okay, in a scenario that, of course, the rates fall sharply. And now we are surpassing our goals here of profitability, then we can discuss eventually to reduce or to increase the tariffs lower than inflation to unlock a new growth cycle, okay? In terms of the OEMs, of course, that there are some changes here, but we don't see the dollar is depreciating [ in the real ]. So we don't believe that car prices will go up more than inflation, but it's difficult to see at least the public or the transactional prices going down. OEMs are not making a robust profit in Brazil. Of course, they are healthy, but it's not that they have a lot of margin to burn here in Brazil. So we expect here a dynamic that's somewhat stable. Of course, there are new entrants. In the terms of our portfolio, we're always assessing based on expected profitability. If we understand that we can have a return better by switching or adjusting our portfolio, we will do so. But all the decisions in terms of the adjustment of our portfolio will be based on our expected profitability on those buys.
Operator: Thank you. Now to close, I will hand back to Rodrigo Tavares. Please go ahead.
Rodrigo Tavares Goncalves de Sousa: Okay. I would like to thank you all, and we remain available if you have any other questions. Thank you very much.